Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Synaptics Third Quarter 2012 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Thursday, April 26, 2012.
 I would now like to turn the conference over to Alex Wellins of The Blueshirt Group. Please go ahead. 
Alex Wellins: Good afternoon, and thank you for joining us today on Synaptics’ third quarter fiscal 2012 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company’s website at synaptics.com. With me on today’s call are Rick Bergman, President and CEO; and Kathy Bayless, the company’s Chief Financial Officer.
 In addition to the company’s GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes non-cash share based compensation charges and certain other non-operational and non-cash items. Please refer to the press release issued after the market closed today for a detailed reconciliation of GAAP and non-GAAP results.
 Additionally we would like to remind you that during the course of this conference call, Synaptics will make forward-looking statements, including predictions and estimates that involve a number of risks and uncertainties, including but not limited to, statements regarding the company’s future financial performance
 [Audio Gap]
 Quarter of fiscal 2012, anticipated sequential and year-over-year changes in the PC and mobile product revenue for the fourth quarter and expectations for year-over-year mobile touch screen unit growth for the fourth quarter, company’s belief that its Design Studio 4 support tools are gaining widespread adoption, company’s belief that it is seeing increased adoption of its high performance touch solutions among major OEMs enabling it to expand its customer base and increase its share with the mobile market, company’s expectation that the introduction of Windows 8 will help drive the next wave of the PC refresh cycle, the company’s confidence in its ability to succeed its market space on its continuing technology investments. Actual results may differ materially from any future performance suggested in the company’s forward-looking statements.
 We refer you to the company’s SEC filings, including Form 10-K for the fiscal year ended June 30, 2011 for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statement. We expressly disclaim any obligation to update the forward-looking information.
 I’ll now turn the call over to Rick Bergman. Rick? 
Richard Bergman: Thanks, Alex. And I would like to welcome everyone to today’s call. I am going to start off today with a review of our high level results and a summary of our progress over the past few months. Then I will ask Kathy to review our third quarter results in more detail to provide our current outlook before opening up the call to your questions.
 Revenue for the March quarter was $132 million in line with our guidance. Our top line results reflect better than anticipated PC revenue, offset by lower than expected mobile revenue. We continued to post strong margin performance as gross margin of 47.4% was above the high end of our expectation and drove solid non-GAAP operating profit of 18%. Non-GAAP net income of approximately $18 million or $0.51 per share was also within our target range.
 Over the past few quarters, we have been showcasing our advanced technology road map at consumer electronics trade show such as CES and Mobile World Congress. We’ve continued to advance our R&D efforts incorporating our systems level knowledge into a broad range of high performance touch solutions and next-generation display integration options.
 I am pleased to say that we’ve begun to see tangible evidence that our ongoing technology development has started to bear fruit as we achieved 2 big milestones during the quarter. We began volume shipments of our first in-cell solution in a smartphone. In addition, we’re shipping our single ASIC ClearPad 7300 large touch screen solution into new 10-inch flagship products by a leading OEM. Our development team continues to push the technology envelope as work continues with leading smartphone display OEMs in the next-wave of solution with touch and display driver integration.
 Now I would like to touch on a specific progress we’ve made delivering our latest technologies to our customers, strengthening our leadership position in the markets we serve. Starting with the mobile market, we’re proud of the progress we’ve made in expanding our customer base, engaging with our broad product portfolio and unparalleled system level engineering knowledge that our customers value.
 With our technology leading the way, we are building momentum with our leading edge offering for in-cell, on-cell and single ASIC large touch screen solutions on the product side as well as our Design Studio 4 support tools which are gaining widespread adoption. Design Studio 4 allows our customers to leverage our history as a full solutions provider and our deep understanding of touch technology.
 There are a few specific smartphones I would like to highlight. The first is Sony Xperia P, the industry’s first in-cell enabled smartphone that will begin shipping with our ClearPad 3250 in-cell solution this quarter. The ClearPad 3250 enabled in-cell capacitive touch screen which eliminates the discrete touch sensor by integrating touch within the display resulting in thinner smartphones with improved displays and lower power consumption. The interest level in in-cell solution is very high among a broad range of top-tier LCD and OEM customers.
 Next is the LG Optimus Vu which features a 1024 x 768 resolution screen in a stylus friendly 5-inch IPS LCD display. Finally, the HTC One X, a device described by a reviewer from The Verge as "not just one of the best Android phones I have ever used. It’s one of the best mobile devices I have ever used. Period." This smartphone features an 8-megapixel camera with 1080p recording capabilities and a 4.7-inch LTP S display.
 Shipments of our industry leading technologies into the flagship devices of top tier OEMs and support for a whole range of operating system are strong proof points of the advantages we deliver to our customers. In addition to the products I just mentioned, we continue to ship our ClearPad solutions into a number of devices from leading OEM such as Huawei, Nokia, LG, HTC, ZTE, Sony Mobile and Samsung. We said that we would be gaining share at key OEMs and these products are evidence of that trends.
 Many of our solutions for the handheld market were showcased in flagship products at Mobile World Congress in Barcelona. Thinner, lighter and more energy efficient devices were a strong theme, building on the trends that we saw at CES. Our ClearPad solutions continue to penetrate the mobile and tablet markets with their ability to help deliver industry leading performance versus competitive solutions.
 As I mentioned, our ClearPad 7300 single ASIC solution is featured in the flagship tablets of a major OEM and we have other designs in the pipeline for products scheduled to launch in the second half of this calendar year. The drive towards thinner, lighter and more energy efficient devices is a prevalent message across the personal electronics market.
 Now as we shift to the PC space, we continue to collaborate with Intel on the adoption of ultrabooks which are optimized for size, weight, high performing and efficient power management with larger TouchPad surfaces. Our ultrabook support is widespread with the HP Folio 13, Toshiba Z830 and Dell XPS 14 currently in the market. Other recent shipments from a leading PC manufacturer include the well received HP Spectre, Lenovo U300s and the Toshiba Satellite U840. And our pipeline is filled by over 65 new ultrabook designs.
 As a Microsoft co-engineering partner, we continue to be actively involved in the development of the Win8 touch experience for both touch screen and TouchPad solution. Synaptics recently released our beta drivers to OEMs that offers high performance and gesture support for the exciting Metro interface featured in Windows 8.
 With our history of innovative touch solutions, we are well positioned to leverage our broad product portfolio for Windows 8 support in future notebook, slates and hybrid models that could feature 2 touch input solutions. In the large touch screen area, Windows 8 drives the highest touch technology requirements that our industry leading single ASIC ClearPad 7300 touch screen solutions satisfies.
 Coupled with our advanced TouchPad and ClickPad solutions, we believe that Windows 8 represents a strong opportunity for Synaptics and we expect to help drive the creation of an exciting new product and usage models based on our solutions.
 Now I would like to take a moment to discuss the general market dynamics. As evident in our product discussion, we are seeing an increased adoption of our high performance touch solutions among major OEMs, enabling us to expand our customer base and increase our share within the mobile market. At the same time, our performance has been tempered by sell-through levels of our smartphone customers who continue to be subject to share shifts within the broader OEM landscape.
 We expect this trend to continue in the fourth quarter. While we expect mobile units to be up during the period, our product mix also reflects the movement from feature phones to lower end smartphones as we support growing demand from countries like China as well as emerging markets.
 In the notebook market, we are starting to see general signs of recovery and anticipate the introduction of Windows 8 in the second half of the year to begin to drive the next-wave of the PC refresh cycle. The initial media and beta user feedback regarding Windows 8 has been positive.
 As I mentioned before, we expect Windows 8 to drive larger TouchPad and ClickPad implementations which carry higher ASPs as well as possible TouchPad and large touch screen combinations. With regard to tablets and notebook and portable solutions, Synaptics is engaged in a number of notebook and slate designs from leading OEMs, and we are excited to increase our footprint in this category with our recent and potential new design wins.
 While our near term results are expected to reflect some of the headwinds on the mobile side of the business I just described, there are important positives to take away from the third quarter. We are excited about our growing presence with key OEMs, the broad adoption of our technology road map and improving trends and catalysts within the notebook market. And we remain extremely confident in our ability to succeed in our markets based on our continuing technology investments.
 With that said, I will now turn the call over to Kathy. 
Kathleen Bayless: Thanks, Rick. Revenue for the March quarter was $131.7 million. Revenue from the PC market was stronger than expected while revenue from the non-PC market was weaker than anticipated, reflecting the OEM customer dynamics in the mobile market.
 The revenue mix from PC and non-PC applications was approximately 49% and 51% respectively in the March quarter. I would like to note that revenue from large touch screen products, including tablets, is now included in the sector non-PC application along with other ClearPad solution.
 Revenue from PC application was up 6% from the prior year and down 3% sequentially, primarily reflecting seasonality in the March quarter. Synaptics continues to be the market for notebook TouchPad and ClickPad and design activity continues to be very strong.
 Revenue from mobile touch screen applications in the March quarter was down 17% year over year and 15% from the strong December quarter. Mobile unit shipments increased significantly from the same quarter last year but were down sequentially. The mobile product mix was predominantly tails and chips in the quarter with integrated module solutions representing less than 5% of the mobile revenue compared with 
 [Audio Gap] 
   Tail and chip solutions have lower average selling prices but carry higher gross margin percentages than full module solutions.
 Non-GAAP gross margin was flat sequentially at 47.4% but up 670 basis points year over year. Gross margin percentage was slightly above our expectations due to overall product mix. Non-GAAP operating expenses were $38.8 million, down $571,000 from the prior quarter. The decline was primarily due to the additional week and employee related expenses in the December 
 [Audio Gap] 
 In the March quarter.
 Our non-GAAP tax rate was 25.5% in the March quarter compared with 23% in the December quarter, primarily reflecting our geographic profit mix. Our GAAP tax rate was 23.7%. Third quarter non-GAAP net income of $18 million or $0.51 
 [Audio Gap] 
 Range. EPS included $0.02 negative impact due to an increase in diluted shares resulting from the higher average stock price this quarter compared to the prior quarter.
 Turning to our balance sheet, we ended the quarter with $324 million of cash. Cash flow from operations was $19.5 million while overall cash was up $41.7 million. Option exercise activity provided $17.4 million and redemptions of longer term investments provided $5.7 million.
 Capital expenditures were $1.9 million for the quarter and depreciation was $2.4 million. Receivables at the end of March were $95.5 million, up $8.7 million from December, reflecting 65 days of sales outstanding. Inventories at the end of March were $28 million, down $1.2 million from December and inventory turns were 10.
 Now I would like to make a few comments regarding our quarterly outlook. Looking ahead to the June quarter, we continue to monitor the customer spending - the consumer spending environment as well as the impact of individual mobile customer dynamics on overall unit volumes as Rick mentioned earlier.
 Based on our backlog of approximately $60 million entering the quarter, customer forecast and the expected product mix we anticipate revenue will be up sequentially in the range of $133 million to $140 million. Specifically, we expect PC revenues to be up and mobile revenues to be down on a sequential basis. This outlook reflects an improving PC environment and continued unit growth on the mobile side offset by a product mix inclusive of solutions for lower cost smartphones for the rapidly growing China and emerging markets.
 On a year-over-year basis, PC revenue is anticipated to be flat to slightly down from the very strong June quarter last year. While we expect mobile phone touch screen units to be up substantially, mobile revenue is expected to be down reflecting the mix shift to lower priced tail and chip solution.
 Taking into account our overall revenue mix, including our module-based notebook business and product mix for mobile touch screen, all of which fluctuates on a quarterly basis, we expect non-GAAP gross margins for the June quarter to be in the range of 46% to 47%. We expect non-GAAP operating expenses in the June quarter to be up from the March quarter reflecting increased engineering headcount to support our expanded product portfolio and technology road map.
 We anticipate the FAS 123R charge in the fourth quarter to be in the range of $8.8 million to $9 million. We anticipate that our non-GAAP tax rate for the June quarter and for the year will be in the range of 23% to 24%, reflecting our expected geographic profit mix. Non-GAAP net income per diluted share for the June quarter is anticipated to be in the range of $0.47 to $0.55 per share.
 With that, we will now turn the call over to the operator to start the Q&A session. Operator? 
Operator: [Operator Instructions] Our first question is from the line of Kevin Cassidy with Stifel Nicolaus. 
Kevin Cassidy: One thing on the gross margins, another quarter where you beat on gross margins, could you give us a little more details of how you came to the high end of that, with PCs coming in better than expected? 
Kathleen Bayless: Hi, Kevin. Yes I will try and give a little more color on that. It’s basically the underlying product mix just within the different products that we are selling. So if you look within the PC side of the business as well as mobile, we had a fairly healthy gross margin mix for just the particular SKUs that we are shipping in the quarter. 
Kevin Cassidy: Okay. And then when we think about going into the June quarter, you’re guiding down again slightly with PC being up and mobile being down, is there a change in the mix? 
Kathleen Bayless: It’s just a stronger mix of PC, so we do think that the blended average will come down a little bit. 
Kevin Cassidy: Okay, maybe just one other question on the design, you announced the HTC One X, it seems that those models have different processes depending on which market they are shipping into. Are you in every version of the HTC One X? 
Richard Bergman: In One X , yes we are. 
Kevin Cassidy: I guess there is the HTC One S also, are they different for you or are they - you’re still on every screen? 
Richard Bergman: No. We are in the One X model. 
Operator: The next question is from the line of Charlie Anderson with Dougherty & Company. 
Charlie Anderson: So just looking at the non-PC for the June quarter, you guys have a number of new things turning on, like the HTC phone. You’ve got the tablet revenue. So wondered if you could just kind of talk about, what kind of contribution you are expecting from some of these new stuff versus the existing customers and how we should think about those 2 buckets in that number that you kind of guided down? 
Kathleen Bayless: Sure, Charlie. When I look at the June quarter, we do have some very exciting things that are starting to ramp. They just started to ramp in the March quarter. And so we do expect it to have additional volume in the June quarter associated with those products. And on the tablet side of the business, with the 7300 products, again it's in initial ramp in the March quarter, so we do expect some additional volume. Right now, I don’t - wouldn’t expect it to be material enough to really breakout in the June quarter and we will give you more information as we go a little further. 
Charlie Anderson: To more of a second half of calendar ramp for that one? 
Kathleen Bayless: Well, it will be in shipping for the quarter but again it's not, it wouldn’t be to a level yet that we would consider material but we’ll let you know if it gets there sooner. 
Charlie Anderson: Fair enough. And then you mentioned sort of the mix shift to some of the lower end smartphones. I wonder if you see that as a one-time event in the June quarter, is that going to be something that’s going to persist for you? And I also wonder if you are seeing aside from the cost of the phone if there has been any pricing pressure on the chip itself in some of these Asia markets where you have done pretty well? 
Kathleen Bayless: Well, I think it’s - we have to kind of step back and look at the overall market. We always talk about capacitive touch. Capacitive touch is growing very rapidly in phones and the adoption rates have been very, very fast. And then when you drill down and look at where the biggest volumes are coming from, are moving into mid-tier and lower end phones. So when we look at those segments of the market, we have great presence within a couple of the larger China guys. Those particular phones, they are lower price point phones. So we are offering lower cost solutions in that environment. 
Operator: The next question is from the line of Daniel Amir with Lazard Capital Markets. 
Philip Lee: This is actually Philip Lee on behalf of Daniel Amir. Thanks for taking my questions. What kind of traction are you guys seeing from your recent tier 1 customers in the mobile space, and when can we see revenue from these engagements? 
Richard Bergman: Hi, Philip, when you say traction, what do you mean, in that sense the ramp of these new products? 
Philip Lee: Yes, the ramp of the new products at your recently acquired mobile OEMs. 
Richard Bergman: These products are just coming in, into the marketplace. So we’ve got Xperia, Sony Xperia product that I mentioned and then HTC One X, those are just - very soon you will be able to purchase those phones. So it’s early to call other than looking at the review that they are getting from the various publications and the reviews have been very, very strong, especially if you listened to the one quote that I gave on the HTC phone. It’s a very fantastic phone. So we will see. We are encouraged and certainly hope that ramps through this current quarter and then of course in the back half of the year as well, the calendar year. 
Philip Lee: And do you see any risk from the display driver vendors integrating cap-touch into their solutions? 
Richard Bergman: Obviously integration point that we have gone out to evangelize because we think long term that is a direction of the industry. And doing touch, though it’s very complicated and difficult, requires a lot of expertise. So certainly is there risk? Yes, I would expect some of them to be heading down that direction. We feel we’ve got a jump on the industry. We are sampling a product today and we showed a demo at the CES and we feel we are in a leadership position on the industry trend. 
Operator: Your next question is from the line of James Medvedeff with Cowen & Co. 
James Medvedeff: Let’s see. Are you able to - did I hear you correctly you moved the tablet revenue into the non-PC side of the house? 
Kathleen Bayless: Yes, we did. How we are looking at it is that when you look at the tablet revenue and the product is our ClearPad 7300. And so what we have done is we’ve moved that type of solution, our ClearPad solutions into the non-PC category. So they are with the rest of our ClearPad. 
James Medvedeff: So what remains in that segment or that revenue segment is just your traditional PC business and notebooks, and what about these like ultrabooks and those kinds of things? Are those also in the non-PC side now? 
Kathleen Bayless: No, ultrabooks - I mean they are notebook. They are basically notebook form factors. So we consider ultrabooks as really part of the notebook market. And so on that category, you have traditional notebooks, ultrabooks. You have PC peripherals that we continue to supply as well. 
James Medvedeff: Okay. And those numbers are all still pretty small, so it’s not a big - big change, is it? 
Kathleen Bayless: Right. 
James Medvedeff: In other words, the other side of the rest of non - if taking handsets out of what was your old non-PC reporting segment, there was very, very little left in sort of mp3 and other kind of stuff, right? 
Kathleen Bayless: Right, that’s been a small contributor for a while. 
James Medvedeff: But now that number is going to be bigger because - 
Kathleen Bayless: Now our touch screens, so they are included in that. 
James Medvedeff: Okay. So that’s going to take some work there. But just another one on, are you able to discuss the sort of different price points between some of these - I know you came out with the series one about a year ago for this low end market that you saw coming. And then the in-cell design is shipping now and the single ASIC large screen product, can you talk about the price points between kind of across that spectrum? 
Kathleen Bayless: Well there is a range of price points, so typically what we have said is what we sell today is chips and tails. So chip solutions for small screen, we have said they’re typically less than $2 sale, $2 to $3. So looking at the range of solutions, when we are talking about our first in-cell solution, those solutions are premium products and would carry higher ASPs than a traditional type solution. The solutions for mid-range and lower end phone would have a lower ASP within those ranges. Large touch screens again, those are premium products. They would have larger ASPs beyond the touch screen. 
James Medvedeff: Do you earn the same sort of margins on all 3? 
Kathleen Bayless: Well, chip is typically cheap but I said before chip, they are typically about 50%, tails are somewhere in the 45% range. 
Richard Bergman: And in certain areas, James, we’ve really brought innovation. And so if you think about in-cell, we are now in production. We are the only touch controller company in production and that’s the only cellphone in the industry that is in production and that brings a lot of value, obviously the elimination of the sensor and then certainly the thinner, lighter, more energy efficient properties that in-cell naturally brings. So we do get a premium there. And that's premium, I think that we deserve. 
Operator: The next question is from the line of Rajv Gill with Needham & Co. 
Rajvindra Gill: Just on the mobile handset side, when do you think the - when are you going to be able to offset the ASP declines with more unit growth? When do you think that, that cross-section will happen? Obviously in June you are seeing a lot of unit volume in the low to mid-range and that’s kind of what you are hinting at as the feature. Maybe talk a little bit about the pricing environment, how do you think you will be able to offset and actually start to grow revenue on the absolute dollar basis? 
Kathleen Bayless: Well, revenue is going to be again, dependent upon what’s the mix of products out there. I think the important - some of the important things we talked about on the call are we have been working on expanding the - our customer base. And so we are really excited to be able to expand the base and to a couple of larger accounts within the ClearPad family this quarter. So as we go forward there will be a combination of very high end solution with in-cell type solutions. There will be additional large touch screens and then there will also be large volumes of lower and mid-range solutions. So it’s really going to be dependent upon the overall mix. But again from a volume standpoint and a market standpoint when you really look at where the growth in the market is, there is a lot of growth coming from China and emerging markets. And… 
Rajvindra Gill: Right, so how will you offset that? Because I mean it’s great to have unit growth but if you can't generate a revenue growth, then it’s end of story type of thing. So how do you look at that? 
Kathleen Bayless: As I said, we look at it and that we’re going to have a combination - we have a combination of solutions right, as we go in, go forward there will be more solutions with in-cell type solution. And we are the leader there, then we would also have a lot of new traction for our TDDI solution as well. So we have a new solutions coming down the pipe and we are really excited about being able to lead the market and also broaden the customer base as we go forward. 
Richard Bergman: You can increase the units, increase the ASP or going into new markets is the way to grow our mobile business. So the smartphone market is still growing 30 plus percent per year. So there is plenty of opportunity to grow units. And solutions like TDDI or in-cell or additional value or additional integration which allows the possibility to grow or at least help the ASP trend. And then there is new markets and in that latter one we haven’t spent a whole lot of energy but we will continue to look at opportunities there to approach some other markets there as well. 
Rajvindra Gill: You might mention this, so I apologize, I was at another conference call, I jumped in late. On in-cell, in-cell design is going into production. That seems like a game-changing technology in the industry. Can you talk about the design wins with tier 1 handset OEMs, are they on the tablet side, on the notebook side? And how do you look at that going forward? Do you think that will represent a larger percentage of your overall units? And I would also think that in-cell brings the costs down. So perhaps you could bring in-cell down to the low to mid-range market that you are talking and still maybe get a little bit higher ASP on the chip? I am sorry, there is a lot of questions but just wanted to… 
Richard Bergman: So let’s kind of talk about the longer term trends. We have been talking about in-cell for quite some time, as being the ultimate trend. And now it seems like a lot of the industry is finally agreeing and in fact last week, there has been a flurry of press around in-cell based on speculation about one large OEM going that direction. And because they make sense. As I mentioned thinner, lighter as well as better optical properties. However you are talking about changing the manufacturing process, for a very big operational organization, of course the LCD manufacturers, and that doesn’t happen overnight. So I believe we have one tier 1 which we talked about, Sony earlier in the phone call, and you will continue to see additional in-cell implementations over the course of the coming quarters. So it won’t be a light switch I believe but certainly the trend is evident and clear at this point. 
Operator: The next question is from the line of Shaw Wu with Sterne Agee. 
Shaw Wu: Just to follow up on the question asked earlier, if you look at your non-PC revenue and most of which was obviously mobile phones. It’s been declining on a year over year basis because of the transition. I guess when do you think we hit an inflection point where that business can actually start growing year over year in line with your - kind of more in line with your strong unit growth? 
Kathleen Bayless: Hi Shaw, yes we have talked about the -- you alluded to the transition we've been going through from module to chip and tail. So as we’ve mentioned for a while and we’d have some significant headwinds for sure during this year. So improving from 50% modules solutions to what I said this quarter was under 5%. As we know in the June quarter last year we still had over 30% solutions for module base going to primarily less than 5% that I talked about before. So throughout this year, it has been a headwind. Moving forward, there will be less of that particular headwind and then we get into looking at broadening the customer base looking at the mix of products as we go forward. 
Shaw Wu: Okay. So I guess the comps, basically you still have a tough comp in the June quarter but I guess after that I guess it gets easier. 
Kathleen Bayless: Well for that particular transition, right, then we have to look at who are we shipping to and the blended mix of the products. So as we mentioned before we are seeing big growth rates within the China based customers and the emerging markets. So those are lower cost solutions, and then you have to blend again with - we will see some additional SKUs at the higher end with in-cell solutions but that’s going to take some time to come through. And then with the wider product mix, we will have some additional SKU volume and different mix of products and some larger touch screen volumes coming in as well. 
Shaw Wu: To follow up, I don’t know if you disclosed the tablet revenue for the quarter and how you see the tablet contribution going forward. Previously you had been more conservative there in terms of - right now clearly there is the iPad is by far the tablet leader. Just any insight in terms of the tablet ramp as we go into the next fiscal year, I guess it will be calendar second half. Is that - any color you share there in terms of the kind of the ramp profile and the contribution there? 
Kathleen Bayless: The phones that we are shipping now, as we mentioned they just started to ramp, so they will increase, not the phones, the tablets. So the tablets will increase into the fourth quarter and then as we get into the second half of the year, what are the things that we are looking for is a big trend is Win8. So as Win8 comes in, we expect to have additional tablet devices, slates, convertibles and other devices to take advantage of large touch screen as Win8 comes out later in the fall timeframe. 
Shaw Wu: This will be my last question. Just now tied to -- your gross margin has expanded a bit into the kind of the 46%, 47% range. When you look at the mix of business going forward, I guess the question is this a similar type of trend you see? I know on the near term basis you said for the June quarter you are sticking with that. But what about when you look at the mix of business into fiscal ’13? Any color there you can help us. 
Kathleen Bayless: We haven’t really updated any longer term target model. So as I have said for a couple of quarters, near term target is 45% to 47% from a gross margin standpoint, and that’s based upon kind of the 50/50 plus or minus a few points, PC versus non-PC market. And as we get further along we will update that if we see a different trend. 
Operator: The next question is from the line of Li-Wen Zhang of Pacific Crest. 
Li-Wen Zhang: Regarding the gross margin, right, you look at PC and mobile mix for last quarter versus previous quarter, what really drives your gross margin better than - above the high end of the guidance? Is it because of that within these 2 segments, like in notebook ClickPad versus TouchPad and within the mobile one, what’s the trend of like chip to tail, tail became smaller as well? 
Kathleen Bayless: There was -- as I said, it is really a mix of the product. So within each one of those portions of the business, SKU by SKU there are different gross margin profiles depending upon what the particular products are. So just it was more favorable mix of product within the both of the segments this quarter. 
Li-Wen Zhang: And also for the long term the company growth, lots of people talk about touch market will become commoditized and also ASP erosion and this thing, so how should we think about the company’s long term growth? 
Richard Bergman: I touched on this in my CES presentation is, we are very focused on how we have to get back in a growth model is we start to look into fiscal year ’13. And there’s multiple opportunities for us there. One is of course is being in high growth markets. So as I said the smartphone market is still growing 30% per year, touch is highly valued in that marketplace. We continue to get strong design win activity with our higher end touch products. We mentioned a few of those design wins today. Likewise in the LTS or tablet market again, as mentioned iPad has had great deal of success and the other player hasn’t had as much success as everybody hoped but there is Windows 8 coming and the volumes are starting to grow, not to its expectation at some point but certainly starting to see a growth in a number of those players. And of course then there is the notebook market. So again as we mentioned in the prepared remarks, that market is coming aligned again with the year over year growth, tremendous amount of excitement around the ultrabooks and Windows 8 that we see a pretty rosy picture there on the notebook side. So all those 3 things and adding additional value, these things like TDDI and other potential areas that we could grow, certainly the prospects for growth are strong and expanding. 
Li-Wen Zhang: And my last one is given the stronger and increasing cash position Synaptics have, what’s your plan to use the cash resources? 
Richard Bergman: It’s always when we get that question, we recognize the importance of value of the input cash and look at the various issues of it. So we are not prepared to announce any specific plans about the utilization of cash at this point. But we continue to look at the opportunities out there. 
Operator: And our final question is a follow-up from the line of Kevin Cassidy with Stifel Nicolaus. 
Kevin Cassidy: Actually one of that was, I think there is still $132 million in the repurchase program. Can you just say what your thoughts are? You didn’t repurchase stock last quarter. 
Kathleen Bayless: Yes, there is about $134 million that’s left on the authorization and that authorization is good through October of 2013. This year we’ve repurchased about 4% of our shares. We do continue to look at stock repurchases on an opportunistic basis, and we will continue to do so as we evaluate other opportunities that we see as well for our cash. 
Richard Bergman: Kevin, you are correct. We did not purchase any shares in Q3. 
Kevin Cassidy: Just I am noticing that you hired about 11 new employees last quarter and you said OpEx would increase based on new employees. Are the new employees coming on as you win new designs? It was once a way to measure your new design wins. Or is it just new products that you are developing, related more to customers or to products, I guess is my question? 
Richard Bergman: Always the cost of just using headcount is a metric - there is always ebbs and flows in terms of how we support our business. For example, it takes a different type and quantity of headcount to support the module business than it does more of a chip type of business. So - but I would say, yes it’s there in 2 major categories. We’re real excited about the investments we have for our product line and the majority of the new headcount that we are putting out there. But some of the things like in-cell just takes tremendous engineering support and so we have to certainly put additional technical application engineering type of support in the field at our customer base. 
Operator: There are no further questions at this time. I will turn it back over to management for closing remarks. 
Richard Bergman: Well, thank you, everyone, for joining us on the call today, and I look forward to you updating you next quarter as well. 
Operator: Ladies and gentlemen, this does conclude the conference call. You may now disconnect and thank you for your participation.